Operator: Thank you for standing by, and welcome to EverCommerce's Fourth Quarter 2023 Earnings Call. My name is Daniel, and I'll be your operator today. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, March 14, 2024.  And I would now like to turn the conference over to Brad Korch, SVP and Head of Investor Relations for EverCommerce. Please go ahead.
Brad Korch: Good afternoon, and thank you for joining. Today's call will be led by Eric Remer, EverCommerce's Chairman and Chief Executive Officer; and Marc Thompson, EverCommerce's Chief Financial Officer. Joining them for the Q&A portion of the call is EverCommerce's President, Matt Feierstein. This call is being webcast with a slide presentation that reviews the key financial and operating results for the three months ended December 31, 2023. For a link to the live or replay webcast, please visit the Investor Relations section of the EverCommerce website, www.evercommerce.com. The slide presentation and earnings release are also directly available on the site. Please turn to Page 2 of our earnings call presentation, while I review our safe harbor statement. Statements made on this call and contained in the earnings materials available on our website that are not historical in nature may constitute forward-looking statements. Such statements are based on the current expectations and beliefs of management. Actual results may differ materially from these forward-looking statements, due to risks and uncertainties that are described in more detail in our filings with the SEC.  We undertake no obligation to publicly update or revise these forward-looking statements, except as required by law. We will also refer to certain non-GAAP financial measures to provide additional information to you, our investors. A reconciliation of non-GAAP GAAP historical measures is provided in both our earnings press release and our earnings call presentation. I will now turn it over to our CEO, Eric Remer. Please continue.
Eric Remer: Thank you, Brad. On today's call, I will highlight fourth quarter results and discuss EverCommerce's strategic transformation and optimization initiatives, which includes the recently announced sale of our fitness assets, and finally end with a discussion of our key customer trends before turning the call over to Marc to dive deeper into our financials. At its core, EverCommerce provides business management software that supports end to end business processes for service SMBs. Our SaaS solutions support highly specialized workflows in each of our verticals, enabling our customers to automate manual processes, generate new business and create more loyal customers. Our solutions are ERP tools for our customers and are critical to our customers' businesses. We enhanced the value of our business management solutions by upselling and cross selling additional features such as robust payments integration, customer engagement solutions, lead generation and group buying programs. Keeping to our mission statement, we are simplifying the lives of those service providers that support us every single day. Full year revenue growth was 9%, and most importantly, we significantly expanded margin throughout the year. Our 2023 adjusted EBITDA margins of 23% represented as 380 basis points of expansion when compared to 2022 and absolute 2023 adjusted EBITDA grew 30.7% in 2023 exceeding guidance given 1 year ago by $17.6 million at the midpoint. Turning to our fourth quarter highlights, our fourth quarter adjusted EBITDA also exceeded the top end of our guidance range. Adjusted EBITDA grew 22% year-over-year and equated to a 25% margin. As we've highlighted in the past, we've seen headwinds in the more transactional aspects of our business, and this was true in the fourth quarter as well, specifically in our Marketing Technology Solutions revenue streams. Due to both macroeconomic pressures and weather-related impact, our MarTech revenue was down nearly 10% year-over-year impacting overall revenue growth rate. Consolidated revenue growth in the quarter was 5%. Subscription and transaction revenue, which excludes marketing technology services, was approximately 10%. With sustained growth and profitability, we are creating the opportunity to incrementally invest in our higher growth, higher margin, larger market opportunities. One of our biggest opportunities is to invest to drive growth in payments. Driving payments adoption continues to be a key element of our strategy, and for the fourth quarter we increased our payment revenue by 20%. Before we dive deeper into fourth quarter performance, I want to highlight an important transaction we announced yesterday that will impact our business moving into 2024. We signed an agreement that will result in EverCommerce's exiting the fitness vertical. As we discussed publicly for the past 12 to 24 months, the fitness vertical is less than 4% of our total revenue, but it's one of our most competitive markets and our solutions have not recovered to pre-COVID levels of operation. This has resulted in a flat revenue performance negatively impacting our overall growth rate and creating a drag on our consolidated profitability. We believe that selling our fitness software solutions to a leading large player in the fitness space is the best outcome for our customers, employees and investors. This enables us to allocate resources to our higher growth, higher margin, larger market opportunities within EverCommerce. The sale of the North American fitness assets closed yesterday, while we expect that the sale of international assets will close following regulatory approval in third quarter. We will exclude the fitness assets from the guidance Marc will provide in a few moments. So when comparing growth rates, it's important to note that these assets contributed approximately $24 million of revenue in 2023 and a breakeven contribution to adjusted EBITDA. The sale of our fitness assets is the first step in our plan to simplify our business and invest in assets that can provide the best growth and strongest returns to our shareholders. In addition to this sale, we are also taking steps to transform and optimize our operations. The fourth quarter, we engaged a third party advisor to help us assess our operations and identify specific initiatives and strategies to simplify, optimize and better scale our operations. With this, we will sharpen our customer centric vertical market focus to better position us to accelerate growth. There are 2 main components to this program. First, we'll be doubling down on our customer centric vertical go to market structure, increasing investments in our key verticals such as EverPro and EverHealth. This includes simplifying our organizational structure and consolidating products and legacy brands, as well as investing in our go-to-market engine. Our ongoing consolidation of solutions within EverHealth, which began last year, was really the beginning of this evolution. With help from our third-party advisors, we developed plans to fast track similar strategies with EverPro. We believe this will help us improve our execution by streamlining functions ranging from sales, marketing, product development and really help accelerate growth in 2025 and beyond, as well as improve our ability to allocate capital while also enhancing our customer experience. Second, we're going to continue to optimize our operations and cost structure and improve its scalability which will help fund key growth investments and allow us to continue to expand margins and cash flow generation over the coming years. As I mentioned, we completed our initial assessment in the fourth quarter 2023 and have already begun implementation of several initiatives. We expect these transformation optimization initiatives to continue through the next 18 to 24 months.  Turning back to our fourth quarter highlights, we continue to execute on our land and expand strategy. We land with a core business management software and then upsell cross sell our existing customers additional features, services and products. This enhances our value to our customers receive from the relationship with EverCommerce and drives additional revenue. As we've shown in various examples in previous earning calls, this translates to lower churn and higher retention.  As of the end of fourth quarter, we continue to see an increase in customers utilizing more than one solution to approximately 82,000. In addition, the number of customers that have contracted and onboarded for two or more products grew 26% year over year to approximately 183,000. The payments enabled customers in this grouping represent a significant near-term opportunity for payments processing and payments revenue growth for EverCommerce. Customers that purchase and utilize more than one solution are naturally some of our most profitable and stickiest customers. This is because we provided significant value to them and their businesses. This fact presents itself through strong net revenue retention. Looking back over the trailing 12 months, our annualized net revenue retention or NRR for our core software payment solutions was 100%. Embedded payments is our most accretive cross sold solution and stands to be a long-term driver for EverCommerce revenue growth and margin expansion. Year-over-year, our payments revenue grew 20%, accounting for approximately 70% of our overall revenue. We report our payments revenue on a net basis and as a result payments revenue contributes approximately 95% gross margin and is a meaningful contributor to our overall adjusted EBITDA margin expansion. Fourth quarter annualized total payment volume or TPV was approximately $11.9 billion representing a 9% year-over-year growth. We expect TPV and overall payments revenue to grow as we continue to embed our payment solutions in our core system of actions.  I would like to end my portion of the prepared remarks by highlighting organic growth opportunity for the company that we are incredibly excited about, EverPro Edge. EverPro Edge is a new solution that provides customers the opportunity to save, learn and grow, create a community and trusted brand for engagement with them. The genesis of EverPro Edge was a customer rebate program that existed within our home and field service solution set. Because of the SMB nature of our customer base, they lack the buying power of typical midsize or enterprise scale business operations. Now, through their association with EverCommerce, our customers can benefit from the collective buying power of more than 350,000 home and field service providers.  Our customers will benefit from real savings in parts and supplies to already purchasing, and for EverCommerce, we benefit from a revenue share of the rebates and the increased value our customers see from the use of our software. As part of the EverPro Edge community, our customers also receive targeted business growth and education content to help them drive performance to their business. Over time, we believe EverPro Edge has the ability to accelerate revenue for EverCommerce and decrease churn as customers realize more value for the EverCommerce ecosystem. EverPro Edge was launched in the second half of 2023 to our choice customer base and today we have over 7,500 customers using it. In 2024, we will expand this solution to additional system of action. Now, I'll pass it over to Marc, who will review our financial results in more detail as well as provide first quarter and full year 2024 guidance.
Marc Thompson: Thanks, Eric. Total revenue in the Q4 was 169.4 million, up 4.7% from the prior year period. We continue to experience demand driven headwinds in our marketing technology solutions. We also experienced slower growth in our fitness solutions, underscoring our decision to part ways with this piece of our business. Within total revenue, subscription and transaction revenue was a 133.5 million, up 9.8% from the prior year period, and revenue for marketing technology solutions was 30.1 million, a decrease of 9.5% from the prior year period. The solid performance in subscription and transaction revenue was largely due to continued execution of our growth strategy to provide customers our core system of action software solutions and driving expansion by promoting cross sell and up sell opportunities leading with payments. To reiterate a point that Eric made earlier, full year 2023 payments revenue represented 17% of total revenue, an increase from 14% of revenue for the full year 2022. Full year 2023 revenue was 675.4 million, up 8.8% year-over-year on a reported basis. And excluding marketing technology and fitness solutions, our growth would have been 12.2%. In the fourth quarter, we continued to deliver on our full year 2023 objectives by exceeding EBITDA guidance and achieving record EBITDA margins. Fourth quarter adjusted EBITDA was 43.1 million representing a 25.4% margin versus 21.7% in the fourth quarter of 2022 and 22.4% growth year-over-year. Adjusted EBITDA outperformance in the quarter was underscored by our focus on actively managing our operating expenses, driving operating leverage and cash flow generation. Additionally, full year 2023 adjusted EBITDA was $155.6 million representing a 23% margin and a 30.7% increase compared to 2022. 2023 full year adjusted EBITDA finished 17.6 million or 12.8% higher than the midpoint of our initial 2023 guidance given approximately a year ago. Adjusted gross profit in the quarter was $114 million representing an adjusted gross margin of 67.3% versus 66.7% in Q4 2022. Full year 2023 adjusted gross profit was $444.4 million representing an adjusted gross margin of 65.8%. The increase in gross margin is partially attributable to an increasing mix of higher margin payments revenue and a decreasing mix of lower margin marketing technology solutions revenue. Now turning to operating expenses. Adjusted sales and marketing expense was $29.6 million or 17.5% of revenue, up from 17.2% of revenue reported in the prior year period. Due to timing of spend, we had anticipated a modest sequential increase in sales and marketing expenses going into the fourth quarter. Adjusted product development expense was $18.3 million or 10.8 percent of revenue in line with the prior year period. Adjusted G&A expense was $23 million or 13 0.6% of revenue, down from 16.9% of revenue in the prior year period. Adjusted G&A costs declined both as a percent of revenue and in absolute dollars as we continue to achieve cost savings from ongoing consolidation activities, benefit from the reduction in force announced last quarter and as we anniversary the investments made in 2021 and 2022 to support our public company infrastructure. We continue to generate significant free cash flow as we invest to grow our business. Leverage free cash flow was $29.8 million in the quarter. This was up approximately $7.1 million or 31.3% year-over-year due to both growth in operating income and changes in working capital. For the trailing 12 months, levered free cash flow was $81.5 million which represents a 12.1% margin and a 74.5% increase over the prior year, continuing to underscore the efficiency of our business and enhancing our balance sheet flexibility. Strong free cash flow generation allows us to continue to invest in our growing business and deliver strong returns to our shareholders. It also allows us to efficiently allocate capital across the spectrum of opportunities, including the outstanding buyback authorization and M&A prospects.  In the fourth quarter, we repurchased approximately 2.7 million shares for a total cash consideration of approximately $26 million at an average price of $9.65 per share. As of December 31, 2023, we had approximately $40 million remaining in our repurchase authorization that runs through year-end 2024. We ended the quarter with $92.6 million in cash and cash equivalents and we maintain $190 million of undrawn capacity on our revolver. Our debt is a combination of floating and fixed rate and total net leverage is calculated per our credit facility at the end of the quarter was approximately 2.6 times consistent with our financial policy. We have no material maturities until 2028.  I would now like to finish by discussing our outlook for 2024. We're pleased with our ability to actively manage bottom line results that exceeded expectations as demonstrated by our record adjusted EBITDA and margins. However, we were disappointed in our slower growth impacted by revenue headwinds in certain parts of our business. We believe EverCommerce is undervalued in the market. And we take our fiduciary duty to create shareholder value very seriously. As yesterday's announcement regarding the sale of our fitness assets illustrates, we are not and will not be shy about taking additional actions to simplify our business or increase growth and margins to unlock value.  As we navigate this transformation and the future of EverCommerce without a fitness vertical, we expect 2024 to be a transition year. While growth may be more muted, we will further expand margins and profitability. A portion of these efficiency gains will be used to reinvest in our products with the goal to accelerate growth in 2025 and beyond. The following non-GAAP guidance excludes our fitness assets, which as we stated contributed approximately $24 million in revenue and near zero contribution to adjusted EBITDA in 2023. Our guidance also assumed near zero growth in our marketing technology solutions on a full year basis.  For the first quarter of 2024, we expect total revenue of $160.5 million to $163.5 million and we expect adjusted EBITDA of $36 million to $38 million. For the full year of 2024, we expect total revenue of $676 million to $696 million and adjusted EBITDA of $167 million to $176 million. Before we begin the question-and-answer portion of the call, I want to thank the entire EverCommerce team for their efforts in delivering bottom line results that exceeded expectations despite a challenging environment. Our focus for 2024 continues to be centered on balancing growth with profitability and the transformational initiatives we described today should allow us to do that in a way that preserves continued margin expansion while allowing for growth acceleration in 2025. Operator, we're now ready to begin the question-and-answer section of the call.
Operator: [Operator Instructions] Our first question comes from Bhavin Shah with Deutsche Bank. 
Bhavin Shah : Tim, I appreciate the comments you talked about on the marketing side of the house. Can you maybe just elaborate a little bit more on the core business software and what you're seeing maybe from a new logo side and then retention aspect? Any changes that you're seeing relative to last few quarters from a demand perspective on Pro Health?
Eric Remer: Appreciate the question. Thank you so much. Matt, you want to take that?
Matt Feierstein: Yes. I think quarter over quarter, I don't, I wouldn't say there's any significant changes in trends from a demand standpoint. Again, we've talked about how we go to market, largely digital acquisition based in both Pro and Health. Not a significant change from a trend standpoint there from a new customer acquisition standpoint. Obviously, we also remain incredibly focused on customer expansion. Certainly pleased but see a lot of opportunity for growth, specifically on the payment side of the house. And you heard our comments about EverPro Edge, specifically on the EverPro side being a real opportunity for growth that we see in the future. So no major change in trends that we've seen quarter-over-quarter.
Eric Remer: And just to add to that, on either the customer acquisition or on the customer retention, it seems to be pretty steady for the last several quarters.
Bhavin Shah : Eric, maybe just given the demand backdrop, particularly on the marketing side of things and now the elevated focus on EverPro and EverHealth given the sales fitness. How, if at all, does that change how you're thinking about the timing or the size of M&A kind of going forward?
Eric Remer: Well, it's another great question. I mean, we're always going to be focused and open to opportunities. In Q4, in November, we closed the deal focused within the EverPro vertical. And we think again EverHealth and EverPro has big opportunities. So we see a situation, and an asset that makes sense that we think can accelerate both growth and overall value to our customers, we'll continue to look at those. So we remain active when they make sense, but we're going to be very, very focused on those specific verticals that we think are going to have the biggest acceleration opportunities.
Operator: Our next question comes from Ryan MacWilliams with Barclays. 
Ryan MacWilliams: Thanks for taking the question. Great to see the focus on doubling down your strengths while improving some operational efficiencies from here. Eric, how do you view the potential for other areas of, perhaps portfolio rationalizations or potential sale of assets from here?
Eric Remer: Again, as art said really well, we're always going to be focused on maximizing value both obviously for the operations and for our shareholders. And it will continue to monitor what makes the most sense organizationally. I do think as we've said several times already in the call and in our prepared remarks that EverPro and EverHealth are really great verticals and really great organizations with excellent Tier 1 softwares and opportunity to really grow. So those are the areas that we are double tripling down. We do have very good solutions also in our salon spa assets within the EverWell, which was fitness was a part of, so no, those are kind of standalone. Those are growing at really nice cases and provide really great value to our customers as well. So those three areas with kind of a reason when we kind of talk about EverPro and EverHealth, much greater than on the EverWell, it's just the percentage of business that we have. That represents about 75% of our business and the greatest opportunity for us to grow going forward. So, we'll always look for rationalizations where it makes sense. We talked about some of the areas that have been dragged in our business, and we'll continue to monitor those to see if there's an opportunity, again to accelerate growth in investments, as well as increase shareholder value. 
Ryan MacWilliams: And one for Marc. How do you feel about the growth rate of the marketing technology assets from here? Like, do you feel like you've seen the worst of the macro impact at this point? And do you view these marketing technology as, like, is this a core part of the EverCommerce portfolio or it would be separate from like we'll give you the add-ons like an EverPro or an EverHealth customer? Thanks. 
Marc Thompson: So look, I mean, obviously, as we shared in our guidance or in my guidance comments, thinking about it, the trend that was this year flat, thinking about that into next year, we're always trying to be prudent with our guide, particularly around this particular solution set. We have seen volatility. There is a lot of exogenous demand driven variables that are harder to predict in that business. We do having said that, I do think we sort of talked about in the second half of last year stabilization there. And I think our performance to be quite honest, we feel pretty good about our performance in terms of stabilizing the operation.  I think going into this year, the team has some nice ideas on how to reduce some of the volatility on the revenue side and continue to work hard on margin. So we're doing the best we can relative to the backdrop. And I think we have positioned ourselves for upside should it come from some of those exogenous positive factors, hopefully with the macro tailwind instead of a headwind. I was just going to say on the other part of your question, Ryan, marketing technology, the investment thesis there remains true. These are solutions that our SMB service providers do need. They are a third derivative. And when we talk about driving dollars into our highest growth, largest market opportunities, we always lead with payments because of the scalability and the profitability and the TAM available to us in that regard. Some of our horizontal SaaS solutions fall into that same category. Marketing Technology Solutions that cross-sell motion is a different motion and requires more investment to get there. So we don't think of it as something that's not required by our customers. We think of it as something that absolutely is and we work to connect those dots. But I would say it is that third derivative, if you will. 
Eric Remer: Just to add that. Thanks, Marc. Ryan, it's a great question. Your asset is a core. I mean, the answer is, it's not core in the sense of the core part of our business, we said this over and over again, providing customer centric vertical software, to service based SMBs. That's the core of everything we do. Providing additional value to enhance their value as well as provide more success is where marketing came in. Unlike payments where we've done, right off the bat, a really good job integrating and penetrating the market. Martech has been a little slower to kind of make that uptick. So, it is an add-on versus kind of core to what we do, but we'll continue to kind of work to make it better, sell-through our ecosystem.
Operator: Our next question comes from Alexander Sklar with Raymond James.
Alexander Sklar: I don't know Eric or Matt. I just wanted to see what have you seen in terms of kind of deal sizes or expansion activity with some of the solutions that you already went through the brand consolidation with that's helping you kind of push forward with the EverPro side in terms of driving further brand consolidation?
Eric Remer: Yes. I mean, as we've talked about in the past, we're obviously further along from an EverHealth standpoint. We've seen nice successes, playing on our thesis of core system of action with those integrated value add solutions in EverHealth, that's been the integration of our claims clearinghouse, the integration of our patient engagement solutions and the integration of our patient pay capability, just think core payments from that standpoint. And we've seen nice progress across all of those. The integration of our core claims clearinghouse continues across multiples of our systems of action there, and we're actually through that in one of them and making nice headway in another. Payments from that perspective is we still have penetration opportunity there, but we've done a really, really good job there. So all of that says thesis we see that thesis come through in terms of core system of action with value add solutions add-on. Again, in EverPro, as we think about it, in a place where we have a little bit less of that product consolidation done, it's going to look a little bit different. But what we have done in EverPro is obviously EverPro is core in our systems of access solutions, where we have integrated payments. And obviously, the majority of our payments integration work has already been done there perspective. So we talked about the EverPro Edge. That will be another value add solution that, again, as we consolidate products, think about those value add solutions being more integrated into those systems of action. So hopefully, that gives you a little bit of color. We've definitely learned a lot at EverHelp, but we are not starting from zero from a product consolidation standpoint at Evercore. We've done that with the value add solutions already.
Eric Remer: Thanks, Matt. And just to add to that, that's a great question. When you think about, what we've done with the consolidation of Evercore Health and Matt said really well, connecting the dots with all those core solutions, For new customer acquisitions, the ARPU has increased 13% year over year. So we are seeing those customers spending more money with us as they're utilizing more products and services.
Operator: [Operator Instructions] Our next question comes from Alexei Gogolev with JPMorgan.
Alexei Gogolev: And Eric, thank you for these comments in your prepared remarks about the first steps that you're taking to transform the business. I was wondering, if you have any thoughts about what might be the next step. I think Mark outlined that 2024 will be a transition year. Anything you could maybe elaborate on what sort of steps in terms of simplifying the business you may take in the near-term?
Eric Remer: Well, thank you for the question. The first step, as we talked about was that Marc brought up in detail was to sell our fitness assets. As we kind of looked at reduced the perimeter of the organization and focused our resources on both people and dollars into investments into those core solutions that we believe have the largest growth opportunity. That's part of the transformation. We continue to talk about that vertically centric software solution focused on helping that service SMB more be more successful. So investments in products and go-to-market in the core verticals that we feel very strong about. And so that's kind of the external. Internally, it's better organizing. The transformation is organizing within the verticals to make sure that we reduce friction, we have better alignment and better products and better go-to-market for those customers. You think about optimization, I mean, that's something we've done very well over the last few years, and this is an extension of that. You think about over the last few years, we've increased EBITDA margins by almost 700 basis points. And so when you think about our ability to expand those margins, that's the ongoing optimization we see in the organization. And we're actually kind of really doubled down on that in terms of focused on those both not in the low hanging fruit, but those areas that we see that we can generate more optimization, which is why we've expanded our kind of guide from EBITDA margin this year as well. 
Marc Thompson: That was well said. I think the sharpening the focus is all about, not just optimizing for the bottom line, but also positioning for the top line, Alexei, particularly in terms of allocating capital across our solutions. So I think that, what we're doing in EverHealth, which is sort of the leading edge of the wedge, if you will, around brand and product consolidation, we're able to see real efficiency gains, much sharper focus, really starting with the customer in towards our operations. So identify the ideal customer profile, work backwards from there and make sure we're delivering customer frictionless set of solutions they need to completely run their business, and enhance their workflows, drive digital payments for other businesses, etcetera. 
Alexei Gogolev: And a follow-up question for Marc. I was wondering how much of a tailwind have you incorporated from EverPro Edge and from the Kickserv acquisition in the 2024 guidance? 
Marc Thompson: Did you say tailwind? What's that tailwind? Well, Kickserv, as you may recall, is a very small tuck-in acquisition and it is baked into the guide. To be candid, it's not a needle mover in and of itself. That's what we described when we talked about the acquisition. In terms of EverPro Edge, started from a base of zero in the middle of last year, we've grown it very nicely in really what's been 6 to 9 months. I think we've got more than 7,000 customers using that. It's a very high margin opportunity. So it's just still early days there, Alexei, but we also do have that built into our guide. 
Eric Remer: Alexei, when you think about really as we build that momentum, the opportunity of our pro ads, even though it's relatively small, the reason we bring it up, the opportunity to expand in multiple, additional solution sets, as well as bring in additional products. So far right now, we're selling really into one solution with one product. So as we look to expand that, again, throughout '24, I think we'll see the acceleration in terms of the needle movement revenue potential into '25 versus in '24 where we're still making those investments into the solution set.
Operator: Our next question comes from Mason Marion with Jefferies. 
Mason Marion: So payments continue to grow well. Thinking of this more from a macro perspective, if you look at it kind of like on a TPV per customer basis, what trends are you seeing there? Are your individual customers reducing spend on average? Are you seeing any signs that perhaps there could be some inflection going forward? 
Eric Remer: No. I appreciate the question. Obviously, that's something that we track closely. Obviously, seasonality across our different sectors does impact that. But we don't see anything out of the normal in terms of that. And obviously, that's a focus for us. Growing TPV per customer is something that is one of the core growth levers in our payments program. So exogenously, nothing outside of seasonality that we see from an impact as we head into finish Q1 and headed into Q2. And that is a real lever for us to continue to push on from a customer success standpoint to continue to expand our customers' revenue through payments expansion.
Operator: And our next question comes from Clarke Jeffries with Piper Sandler.
Clarke Jeffries: First is a question on, the residual assets in the wellness portfolio. How are you viewing those assets between the fitness and the wellness, the remaining wellness assets? Maybe any kind of color on what those assets are now. And then second question is Marc, it seems like progression of adjusted EBITDA and unlevered or levered free cash flow has been pretty consistent, those kind of being in lockstep with each other. Do you expect that to continue in the coming year?
Marc Thompson: Thanks so much for the question. I'll start with the first one. The assets remaining in EverWell are really focused on salon and spa, which unlike the fitness, they came right back, when COVID, when the COVID kind of ended for all types of purposes. We saw specifically in salons when a state would turn back on that you can go to a salon, it went back up to 100%. So we really like those assets we have there. We have 2 main assets, 1, Timely the other one, Salon Business. Timely is kind of our global solution where salon business is more invested. Really great solutions with both really great growth rates. We continue to invest in both of those, both new customer acquisition as well as integrated payments. So we're excited about the category, and we think that category has got long run rate of growth in front of it.
Clarke Jeffries: So the question on adjusted EBITDA and free cash flow generation, I mean, this has obviously been a primary focus all year. We felt like we committed to that to our board and our investors coming into '23, we feel very good about our performance. In terms of driving efficiency into the business and optimizing our business as well as driving and improving scalability in the operation to better position us for growth down the road. So everything that we began and continued to do through the year of '23. We sort of doubled down on that, if you will, through the transformation optimization initiatives that Eric mentioned. Within obviously driving efficiency on that bottom-line really relates as much to the optimization issues as it does for the transformation side. But as we continue to sharpen our focus, consolidate our operations around brands and products, invest appropriately and drive more scalability and have identified a pretty long list of a variety of different initiatives that we can do to continue to drive efficiency into the business. I think you see that reflected in the guide forward, right. I mean, we're committing to driving increased profitability this coming year. And I think parking back to kind of our thoughts on the mid and long term when we took the business public. We always felt very good about our ability to drive operating leverage through the business as we drove scale, and as we got over the hump particularly of a lot of investments we needed to make, as we went public and then began operating as a public company. So a lot of work we're very focused on here in '24 and beyond, over the next really 1 to 2 years to continue to grow into that motion. 
Operator: Our next question comes from Dan Bergstrom with RBC Capital Markets. 
Dan Bergstrom: Hey, it's Dan Bergstrom for Matt Hedberg. Thanks for taking our question. Just on payment adoption and an earlier question, I know you tried out some different strategies to drive payment adoption last year with mandates etcetera. Is there anything that you really learned from that testing that you're leaning on more in '24 here to drive payment adoption? 
Eric Remer: Yes. Great question. Thanks for the follow-up on that. Absolutely, we've tested mandates across multiple solutions, certainly learned a lot in terms of what percentage of uptake we got on those mandates, how to position the mandates. And we've actually pulled that forward into how we think about using similar tactics in 2024. Obviously, there's a variety of different things that we are thinking of from a payment attached standpoint. Obviously, it goes beyond mandates. It goes to pricing, packaging, etcetera. And so definitely, we're obviously everything we do going forward is a function of what we've learned. We're very test and learn focused and did pick up a bunch of points from those mandates that we'll be driving forward in '24. 
Dan Bergstrom: That's great. Appreciate the color. And then maybe for Marc, again to build off a previous question on the guidance range for '24. Maybe what are some of the underlying assumptions or what could work well that could push results, say, towards the upper end of the range? 
Marc Thompson: Well, I think a few things. Obviously, on the top side of things, continuing on revenue, continuing to invest in our core strategies within our core solutions, systems of action and integrating payments and things like EverPro Edge, new add-on features that can drive both growth and profitability and frankly improve retention. I mean, our investments we're making year-over-year are always as much about acquiring new customers as much about investing in our ability to expand our customer relationships and also really improve features, functions remain competitive and drive improved retention. Obviously, when you sell more than one solution to customers, you drive retention that way. So I think, a variety of everything we're doing on the investment side in '24, particularly in these higher growth, higher margin, higher market opportunities, I think is all geared towards positioning us for upside. So, we're driving the investment dollars in, we're taking the actions and execution could certainly improve our ability to drive that top line.  I do think as I mentioned on marketing technology, we are being prudent in our guide. It is we do see stabilization, but the world is not in our control. I do think there could always be upside there, and we're certainly well positioned for that. And I think as I mentioned earlier, the team has done a really nice job of managing through a really murky environment the last 18 to 24 months.  On the bottom line, I think we've demonstrated through this year and really over the last 18 to 24 months, just as we had said, we were going to overcome the hump of the infrastructure costs we needed to make and the investments we needed to make to get and be public. I think we've delivered on that and then some. And I think we're positioning ourselves to deliver on that, this year with real confidence in building that into our guidance. But obviously, we can't work fast enough to drive more efficiency and scalability of operations into the business and we're doing that as quickly as we can. But there could be upside there from a variety of different initiatives we have going on internally as we continue to transform and optimize the business this year and next.
Eric Remer: And just to add to that, when you think about some of the opportunities that we continue to work on that we think will both drive growth the upper end of this year as well as into next year, it would be over 700,000 customers, over 350,000 field service contractors, almost 100,000 practitioners in the EverHealth. We have a massive amount of small business customers that utilize our core solutions to run the business every day. Our opportunity to provide more value to them through additional services, products and solutions, we are still in the early innings of that. And fortunately, that's a very large base. So it gives us a lot of runway to grow with. But those are the things that we focus on every day. How do you provide more value to those customers? Obviously, makes them more successful and provides more revenue to EverCommerce.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Eric Remer for closing remarks.
Eric Remer : Well, I appreciate everyone joining the call today. EverCommerce continues to balance growth and profitability. And as we said several times, as we look forward to 2024, I'm very excited to continue the implementation of our transformation and optimization initiatives that will both accelerate growth while expanding our margins. So thank you guys so much for joining today.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.